Operator: Good afternoon, and welcome to the ADMA Biologics First Quarter 2024 Financial Results and Business Update Conference Call on Thursday, May 09, 2024. At this time, all participants are in a listen-only mode. There will be a question-and-answer session to follow. Please be advised that this call is being recorded at the company’s request and will be available on the company’s website approximately two hours following the end of the call. At this time, I would like to introduce Skyler Bloom, Please go ahead.
Skyler Bloom: Welcome, everyone. And thank you for joining us this afternoon to discuss ADMA Biologics financial results for the fourth quarter and full year of 2023 and recent corporate updates. I’m joined today by Adam Grossman, President and Chief Executive Officer; and Brian Lenz, Executive Vice President, Chief Financial Officer and General Manager of ADMA BioCenters. During today’s call, Adam will provide some introductory comments and provide us an update on corporate progress, and then Brian will provide an overview of the company’s first quarter 2024 financial results. Finally, Adam will then provide some brief summary remarks before opening up the call for your questions. Earlier today, we issued a press release detailing the first quarter 2024 financial results and summarized certain achievements in recent corporate updates. The release is available on our website at www.admabiologics.com. Before we begin our formal comments, I’ll remind you that we will be making forward-looking assertions during today’s call that represent the company’s intentions, expectations or beliefs concerning future events, which constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. All forward-looking statements are subject to factors, risks and uncertainties, such as those detailed in today’s press release announcing this call and in our filings with the SEC, which may cause actual results to differ materially from the results or implied by such statements. In addition, any forward-looking statements represent our views as of the date of this call and should not be relied upon as representing our views as of the subsequent date. We specifically disclaim any obligation to update any such statements except as required by the federal securities laws. We refer you to the Disclosure Notice section in our earnings release we issued today in the Risk Factors section of our annual report on Form 10-K for the year ended March 31, 2024, for a discussion of the important factors that could cause actual results to differ materially from these forward-looking statements. Please note that the discussion on today’s call includes certain non-GAAP financial measures, including adjusted EBITDA and adjusted net income. A reconciliation of these non-GAAP financial measures to the nearest comparable GAAP metric is available in our release. With that, I would now like to turn the call over to Adam Grossman. Adam?
Adam Grossman: Good afternoon and welcome to the ADMA Biologics first quarter 2024 financial results and Business Update conference call on Thursday, May 9, 2024. At this time, all participants are in a listen only mode. There will be a question and answer session to follow. Please be advised that this call is being recorded at the company's request and will be available on the Company's website approximately two hours following the end of the call. At this time, I would like to introduce Skylar Bloom. Please go ahead. Welcome everyone and thank you for joining us this afternoon to discuss ADMA Biologics financial results for the first quarter of 2024 and recent corporate updates. I'm joined today by Adam Grossman, President, Chief Executive Officer and interim financial officer, and Brad Taid, vice president of financial operations. During today's call, Adam will provide some summary introductory comments and provide an update on corporate progress. And then Brad will provide an overview of the Company's first quarter 2024 financial results. Finally, Adam will then provide some brief summary remarks before opening up the call for questions. Earlier today, we issued a press release detailing the first quarter 2024 financial results and summarize certain achievements in recent corporate updates. The release is available on our website at www.adminbiologics.com. Before we begin our formal comments, I'll remind you that we will be making forward looking assertions during today's call that represent the Company's intentions, expectations, or beliefs concerning future events which constitute forward looking statements for the purposes of the safe harbor provisions under the Private Securities Litigation Reform act of 1995. All forward looking statements are subject to factors, risks, and uncertainties, such as those detailed in today's press release announcing this call and in our filings with the SEC, which may cause actual results to differ materially from the results expressed or implied by such statements. In addition, any forward looking statements represent our views only as of the date of this call and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligations to update any such statements except as required by the federal securities laws. We refer you to the disclosure notice section in our earnings release we issued today in the Risk Factors section of our quarterly report on form ten Q for the quarter ended March 31, 2024. For a discussion of the important risk factors that could cause actual results to differ materially from these forward looking statements. Please note that the discussion on today's call includes certain non GAAP financial measures, including adjusted EBITDA. A reconciliation of these non GAAP financial measures to the most directly comparable GAAP metric is available in our earnings release. With that, I would now like to turn the call over to Adam Grossman. Adam, go ahead.
Adam Grossman: Thank you and welcome everyone. The beginning of 2024 has been a transformative period for us at ADMA Biologics. We believe the future has never been brighter and our commercial success story continues to unfold with great momentum. During the first quarter, we continued to execute on our growth strategy and exceeded our financial forecasts. Compounding revenue growth and management's cost containment measures have enabled us to once again raise our financial guidance for both top and bottom line projections, underscoring the strength of our innovative business model, which we believe has proven to be distinctly durable and resilient through various operating conditions. Total revenues for the first quarter of 2024 grew by 44% year-over-year to $81.9 million. This rapid revenue growth, combined with a tightly managed cost structure resulted in adjusted EBITDA of $26.4 million during the first quarter of 2024. This represents a 970% year-over-year growth rate compared to the first quarter of 2023. GAAP net income grew to $17.8 million during the first quarter of 2024 compared to a GAAP net loss of $6.8 million during the first quarter of 2023. We anticipate continued revenue growth leading to increased operating leverage and increased earnings across near term periods, which would further solidify ADMA's position as one of the fastest growing and profitable biopharma companies in the United States. With net leverage approaching zero, we continue to believe that we are achieving significant new milestones for our financial performance. As admits, forward looking business trends build momentum. We're revising financial guidance upwards for both 2024 and 2025, increasing both top and bottom line projections. Based on current market factors, we now anticipate generating revenues during these periods of more than $355 million and $410 million, respectively. At these revenue levels, we estimate adjusted EBITDA will exceed $110 million and $160 million for 2024 and 2025, respectively, representing a 45% year-over-year growth rate. Similarly, we are increasing net income guidance to more than $85 million and $135 million for 2024 and 2025, respectively, representing an approximately 60% year-over-year increase. In addition to the significant increases to near term guidance, we expect to continue to favorably reassess the terminal earnings power beyond 2025 for our business and plan to communicate more detail around forecasted revenue and earnings growth post 2025. As internal developments and projects progress, the underlying drivers of our revenue and earnings growth continue to strengthen. With the Centeniv reaching new highs across nearly all utilization KPI's and Bivigam deepening its entrenchment in the growing US aminoglobulin market. We believe the continued growth of our commercial portfolio is largely attributable to our focus on the immune deficient patient segment, particularly those with complex comorbidities. We believe this specialized focus combined with our innovative business model, diverse product portfolio and targeted medical education, marketing and market access initiatives have differentiated ADMA within the US immunoglobulin landscape. Establishing what we are confident is an enduring and growing foothold. Specifically regarding ascension, we see real growth potential within the products targeted addressable market, especially among immune deficient patients with complex comorbidities. Launch metrics remain supported with Ascenta's unique product profile resonating in clinical practice and real world settings. As demand trends accelerate, we are reassessing the product's peak potential. We believe that we are still in the early stages of tapping into the product's full market opportunity. We expect these continuous improvements in both top and bottom line results will sustain over the near and longer terms. We are confident the ongoing strengthening of our balance sheet will position us well to pursue new growth opportunities in a capital efficient manner, including but not limited to advancing our preclinical R&D pipeline programs and otherwise opportunistically utilizing our cash flows to maximize shareholder value. Moving to our longer term growth initiatives, we continue to make progress with all programs consistent with our prior communications. Our efforts to enhance immunoglobulin production yield through innovations to our manufacturing processes have continued to advance in 2024 year to date. We believe it's successful. These initiatives can provide transformative accretion to our revenue and earnings objectives, beginning potentially in the second half of next year. Furthermore, we believe that our preclinical hyper immunoglobulin program targeting strep pneumonia aligns with unmet medical needs and leverages our expertise in clinical development, specialty biologics, manufacturing and commercial product launches. On the plasma supply front, our collection centers continue to perform well, positioning us to meet increased production forecasts for our IG portfolio. We are seeing increased hyperimmune plasma collections to support the growing demand and utilization of incentives and collection volumes across the network on a same center basis are reaching new highs. Overall, we believe ADMet is well positioned for continued growth and innovation with a strong foundation for success in the years ahead. In the spirit of continuing to innovate across our business and operational functions during the first quarter, we expanded the implementation of our adminlytics, generative AI and machine learning platform to optimize and streamline certain production processes. We anticipate that admolytics will provide far reaching improvements and efficiencies across our operations, which would support the company's rapid earnings growth trajectory and reinforce our position as a thought leader in the specialty biologics market. Upon reflecting on the journey of ADMA, we believe that our achievements reflect the unwavering commitment and hard work demonstrated by our outstanding and knowledgeable team members. The evolution from a young virtual biotech startup company to now operating a compliant end to end controlled supply chain. We are advancing our position as one of the fastest growing and profitable biopharma companies in the United States. This is truly rare and remarkable to our employees. We extend our heartfelt gratitude for your tenacity, perseverance and tireless dedication, which not only fuels our progress, but also leaves a significant impact on those we serve. It's the collaborative ethos and collective effort that truly distinguish our workplace. We deeply value the dedication, enthusiasm and diligence exhibited by each member of our team. It's this steadfast devotion that drives our successes and enables us to maintain firm control over our operations in line with our fundamental vision. We firmly believe that this strong foundation paves the way for even greater accomplishments in the periods ahead. With that, I'd now like to turn the call over to Brian for a review of the first quarter 2024 financials.
Brian Lenz: Thank you Adam. We issued a press release earlier today outlining our first quarter 2024 financial results, and we will also be issuing our first quarter ten Q report later this afternoon, which we would encourage you to read in conjunction with our comments and discussion points we will make during today's call. I will now discuss some of the key financial highlights from the first quarter. Total revenues were $81.9 million for the quarter ended March 31, 2024, as compared to $56.9 million for the first quarter ended March 31, 2023, an increase of $25 million, or approximately 44%. The increase is primarily related to increased sales of our immunoglobulin products, partially offset by a planned decrease in sales of plasma to third parties due to the increasing retention of plasma for ADMA’s internal IVIG production. The decline in external plasma sales is consistent with our prior messaging and forecast as we are utilizing a greater percentage of our internally sourced plasma from our collection network for our manufacturing of incentive and Visigap. Gross profit for the three months ended March 31, 2024 was $39.1 million, as compared to $16.5 million for the same period of a year ago which represents an increase of $22.6 million. As a result, ADMA achieved a corporate gross margin of approximately 48% in the first quarter of 2024 as compared to approximately 29% in the first quarter of 2023. We believe the pathway is well paved to continue to grow gross profits over future periods as we progress further into 2024. We believe we are just now beginning to generate financial results that demonstrate the distinct operating leverage the business is capable of realizing as our revenue growth rate improves and fixed expenses are tightly managed. During the first quarter, we grew adjusted EBITDA to $26.4 million as compared to $2.5 million for the first quarter of 2023.Additionally, during the first quarter, we generated $17.8 million of GAAP net income as compared to a GAAP net loss of $6.8 million for the first quarter of 2023. The significant improvement in financial performance is driven primarily by increased sales, gross profit and continued fiscal operating management of our business. Based on Admit's fourth quarter annualized adjusted EBIT growth and cash and cash equivalents, the company's current net leverage ratio has organically improved to approximately 0.85. We anticipate the balance sheet will continue to strengthen over the coming periods enabled by forecasted free cash flow and growing adjusted EBITDA. Specifically bracketing the second quarter, we anticipate a significant step up in free cash flow which we expect will continue to grow thereafter over the balance of 2024 and beyond. With that, I will now turn the call back over to Adam for closing remarks.
Adam Grossman: Thank you Brad. Our strong commitment to innovation and performance has yielded tangible results, driving significant growth and value creation, which we believe has set our company up for enduring success for years to come. Looking ahead to the remainder of 2024, we anticipate top tier revenue and earnings growth fueled by transformative initiatives, all underpinned by our strong foundation of scientific, manufacturing and commercial excellence. In the periods ahead, we look forward to leveraging both our R&D know how and innovative commercial model to unlock an even greater than anticipated terminal value for our business. With our upwardly revised financial guidance and forecasted increases to free cash flows in the second quarter and all foreseeable periods thereafter, we are extremely proud of the business we are building. The market opportunity for Adma's innovative specialty biologics has continued to grow and evolve and we are excited to expand upon the strong partnerships and inroads we've developed. I extend our heartfelt gratitude to all who have supported us on this journey. Your trust and partnership are invaluable as we continue to make a difference in the lives of patients as we move forward. I encourage you to join us in our mission. Donate plasma, help save lives, and make a meaningful impact on our communities. Thank you for your support and dedication. Together, we continue to write the story of Adma's success. And with that, we'll now open up the call for your questions. Thank you. Operator?
Operator: [Operator instructions]. Our first question comes from Anthony Petrone from Mizuho group. Please go ahead. Your line is open.
Anthony Petrone: Thank you, Anthony. Hi, Adam. And congratulations to the team. And the first thought in my head is, you know, are they paying attention yet to the performance here? But in looking ahead, I think one of the questions that we get from folks out there, and it seems like we touched on it, is where we are. And I think the capacity utilization today of the business with the center growing much faster than expected, and Vivigam certainly looking like it's gaining steady market share in the traditional IG market. So maybe just a little bit on where capacity utilization is today. And you spoke a little bit about the peak potential of this business. You look at the guidance you put out there for '24 and '25. When we do our math, there's a lot of, you know, room for variability, but we get to a number that's quite a bit higher than your 2025 number. But how should we be thinking about capacity utilization today? And, you know, bracketing where the peak potential is for this business? And I'll have a couple of follow ups.
Adam Grossman: Always good questions, Anthony. Thank you for the kind words. I definitely think my team is, is paying attention. And maybe before I jump in, I just want to take my hat off to the folks here at ADMA. I mean, it's everybody working together. I think this is what happens when you have a business that, look, obviously we have a great product. It meets the unmet needs of these immune compromised patients with complex comorbidities, with Asceniv and with bivigam. It's a durable, growing, high quality product out there. And I take my hat off to everyone that makes this possible, because you can't do it. You can't have a great idea without a lot of people who are going to give 100% effort every single day. And that's the admin team. With that said, I mean, look, we're probably, I think I've said this before, it's about 70% to 80% capacity. That's where we're running now with production. Obviously, we're looking at ways to expand that. The more we can push in, the more we're going to get out yield enhancement. We have not even given guidance yet. All these revised upward numbers do not include any accretion from yield enhancement. But what I can tell you is that, look, we're certainly penetrating stronger, harder, faster than we ever thought we would with incentive right now. The calendar flip was great. I said this at the Raymond James conference. I guess it's a couple months ago now. Gary asked a similar question. And if you look at our plant, 600,000 liter peak capacity, and you just do the plasma economics, four grams per liter yield on average, somewhere between, call it 1.8 to 2.2 million gram come out of this plant, 2.4 million gram at peak. If all of that was incentive, Anthony, you'd be looking at a billion and a half to two billion plus in total top line revenue annually. Do I think that's possible? No, I don't, but anything's possible. I think being able to secure that much hyper immune plasma to make incentive, I think would be a challenge. But I think somewhere the terminal value for this business or the terminal revenue generation opportunity with what we have today is somewhere between the near term forward guidance of 410 and $2 billion. I don't know the exact number. My team is working very, very expeditiously with respect to ramping up our ability to test for these hyper immune high titer RSV plasma donors. We've seen increased collections. Again, we're producing more product than ever. But I really think that the terminal earnings and the terminal revenue generation from this business, we're really in the early innings here. But I do think that there is significant and sustained growth beyond 2025. With Asceniv and Bivigam, again, this is stage one of yield improvement. Hopefully in the middle term of this year, we'll be able to give some more details on timeline and guidance. But we do think that we could be accretive with revenue generation as early as the second half of next year. But again, that's not in our revised guidance that we've given today. So hopefully that answers your question.
Anthony Petrone: Very helpful. I'm going to let others jump in. I got a bunch, but I just want to maybe ask one on the supply chain and I'll hop in. You talk about the donor side of the equation for RSV high tide or RSV Navy being a limitation, is there a vaccination strategy that you can leverage now that we have RSV vaccines out there? Congratulations again to the team. Thanks.
Adam Grossman: Thanks, Anthony. The answer is no. We do not want to use the vaccine. The special sauce here is not just the RSV. And I have talked about this before, and I don't mean to bore folks by saying the same thing, but RSV is the marker that we use to test to identify which donors have high levels of antibodies to this panel of different respiratory viruses. On the website, in the publication section, we talk about this. Our donors are not just high titer to RSV, they're high titer to a panel of different infectious pathogens. So it's the naturally occurring antibody we feel. It's really identifying who these high responders are. And look, they're out there. They're out there. The hit rates are what we've seen historically. The post pandemic return of the plasma donor is here. We're working on very unique and good strategies with our plasma centers and our third party collectors who provide us with the hyper immune plasma, on paying these donors bonuses, bringing them back in more frequently, and we're seeing the fruits of our labor. I mean, we have more material, we have more raw material collected than ever before, and we feel very, very confident about our ability to deliver sustained quarter over quarter growth for the foreseeable future.
Operator: Our next question comes from Kristen Kluska from Cantor Fitzgerald. Please go ahead, your line is open.
Kristen Kluska: Hey, Kristin. Hi, everyone. Hey, congrats on the quarter and starting to sound like a broken record here, but once again, really impressive numbers and, you know, kind of beating all of our expectations. So well done. As you have a very unique position giving you insight into forecasting revenues, I wanted to ask at what point you might consider reinvesting some of this capital to either expand the business or improve things on the manufacturing front. Or if there's anything else you're looking at. I know you've also guided on, you know, looking at other indications as well?
Brian Lenz: All great questions. And I will say, Kristen, you made us work hard this quarter. I think you were the top revenue estimate out there, so we had to work hard to beat your projections. But regarding the cash flow and what are we going to do? I mean, look, we are positioned very favorably, I think, as we generate cash. And, you know, we certainly think the second quarter is going to be a very large quarter from cash flow perspective. But, you know, if, if the interest rate backdrop continues and it remains elevated, sofa remains where it is, we've got the ability to pay down 50% of the revolving line that is attached to this Aries deal that we did this past December. But as cash builds on the balance sheet, we can pay that down, reduce our interest expense, reduce cash going out. I mean, I've said this before, and I don't mind saying these things like a broken record, but we are hyper focused on shareholder returns. We're hyper focused on creating shareholder value. I mean, a lot of the investors have been with us since the beginning, and we can't thank them enough. And look, we've got great product that helps people. So with all of this coming together, I think the stock is undervalued. I think our board feels the stock is undervalued. We're seeing other companies in this backdrop paying down their debt. You see where our net leverage ratio is coming down at 0.85 x. And if there's an opportunity to redeploy the capital, buy back some stock, look at other ways to enhance shareholder value. I mean, these are all things that we're considering, and we're talking at the board level. No decisions have been made yet. Let's see how we continue to progress. But with the way that we're forecasting cash flows, we certainly are going to be opportunistic. We are not looking to onboard assets. Kristen, I don't know if that's something that you were asking. That's not really something that we're looking at here, but investing in analytics, investing in our it infrastructure, investing in new systems to help streamline and enhance efficiencies. I think something with Brad coming on board and his, I guess, financial operational experience has been a great value creator for us here internally at the company, looking at all types of ways to extract more margin and more value out of the business. So we're very excited about the opportunities ahead.
Skyler Bloom: Kris. And it's Skylar. I would add that in the event that we don't have the revolving credit facility fully drawn in the back half of this year, that represents upside to the net income guidance we provided. Today we contemplate a fully drawn debt piece. So in the event that we continue to stack cash on the balance sheet, yet another lever for upside to currently provided net income guidance.
Kristen Kluska: Absolutely. Okay, thanks. Appreciate that. Color. And then just my last question is, obviously, this is a great business where people can donate plasma, very often a couple times a week. So I know you've talked before about different incentives and ways to get the specialty plasma, but have you looked to further find ways to get more donations from those patients that you've identified? And if so, has any of this worked for increased donations?
Adam Grossman: So the answer is yes, Kristen. You know, once once we've spent the money and done the testing and identified which donor either from one of our third parties or in one of our ten wholly owned and operated centers, you know, once we know who the donor is, we've deployed strategies this year where we're paying bonuses for frequency and we're increasing some of our donor fees on the incentive plasma because obviously we've got margin there. I don't like to say we've got margin to spare, but certainly more is better. And we've seen these programs work in our existing centers. We're starting to roll them out to our third party. So, you know, we wouldn't be as confident in our guidance, we wouldn't be increasing top and bottom line guidance if we did not think that we were able to meet these forecasted targets. So as we've been demonstrating to the street for the last ten plus calendar quarters, we feel really good about our positioning. Everything seems to be working well. And, you know, at the end of the day, patients do well on the products that admobiologics produces. Full stop. Patients are doing very well on bivigam. I've seen and heard and been told some very, very heartwarming stories as the medical conference season starts to unfold. Was the clinical immunology society meeting, I think it was last week. And I had a number of inbounds from some of our field force on just stories that physicians are sharing with us about patients who were just not doing well on their other IG and they would switch to incentive and they've improved. It's what drives us. It's what fuels us. And we're going to keep investing into this business. We're going to keep investing into identifying more, more plasma donors. But we think again that this is the early stages and we can collect more and we will produce more and we will sell more. And just to add, right. I mean, those programs are taking traction. We're starting to see the results of it. And as we stated, right, we're retaining our internally sourced plasma to be, to meet our manufacturing needs. But it's good to see that the traction is starting to gain.
Operator: Our next question comes from Gary Nachman from Raymond James. Please go ahead. Your line is open.
Gary Nachman: All right, great. Good afternoon. And my congrats as well on the quarter and all the progress, and thanks for that plug before on our conference, Adam?
Adam Grossman: It was great. I got to tell you, we had a lot of great meetings out of that conference. And I really think that that was a look, it was the start of the year and look at where we are. I mean, it takes a village to get all this done. So I appreciate all of our analysts and all of our banks.
Gary Nachman: Yeah, for sure. So, I mean, when you say you're assessing the company's potential beyond 2025, a little more on how you're doing that and the types of analyses you're doing and how do you expect to communicate that and in what timeframe and forum? So that would be the first question. And then, I guess when you talk about the durability of a cent of longer term, the payer question immediately comes to mind. So making sure you won't get any surprising pushback there. So the status today versus how you see this in a couple of years, and then also that no other competitors out there can do these hyper immune products and that you think you'll be differentiated in that space for a long time. All great questions. I think I wrote them down. So the first thing that I'll touch on are the types of analyses. I mean, there's the Brad Tate, you know, Skyler Bloom models, and then there's the Grossman math. But what I can tell you is that, look, we're at a point right now where I think it's really, the market is asking for more product. The clinicians have seen the product work well. So really it comes down to, can we produce more? We're selling everything. We make both products, Senev and Bivigam. And honestly, Navi has been doing very well this year for us as well. And that's a decent margin product. So really, this has been a hell of a start to the year. I mean, we're sitting here May 9, and things just look great. But as far as the analyses, I mean, look, we have a good handle on the number of patients that could benefit from incentive. And if you recall, the math is roughly, call it 250,000 to 500,000 PI patients. About half of them are on IG, and we estimate somewhere between, call it 15% to 30% of those have some chronic lung condition, have some significant comorbidity, that they've got a challenging course of treatment. Just on standard IG alone, most patients do very well, but we think that there could be in the order of ten to 30,000 people that can benefit from incentive. We haven't even scratched the surface. So, you know, I think that we've demonstrated proof of concept, I think with some of the notes that I've been getting from investors this afternoon, very, very congratulatory thank you all very much. It's better than the alternatives that you guys used to send me years ago. But what I'll say is that the demand is there. And I think I may have said this, Gary, at your conference. If not, maybe someone's going to shoot me. But it's like Rolex demand. I have no idea if it's fabricated or not, but you can't walk into a store and buy one. I mean incentive is all allocated out there. New patient starts our scheduled. We just have to make more product. I think the more we can make and with our seven to twelve month production cycle time, that is shortening. But we've got the ability to and we've said it all the time. We have tomorrow's newspaper. We know how much we're making. We know what we can forecast. And we would not be increasing guidance the way that we are as strong as we are if we did not think that we can meet these targets. So that's that piece. What I'll say about the payers. Someone's breathing heavy on my line. If they can just go on mute. If you're not me. Thanks. The payers, we've, we've identified what good looks like. I think that we have identified what appropriate use. We're not seeing prohibitive barriers to entry right now. Coverage and access is good. It's ongoing. Our advantage IG program, which is our patient assistance program, is being utilized and it's helping people with their co pays. But I really think that when you look at the pharmacoeconomic value proposition, it resonates with the prescribers, it resonates with the payers. And you know, I think that we really characterize appropriate use very, very well. Ascendant website's been updated. If you haven't taken a look, you should look@incentive.com and you know, I just truly believe that we're out there and we're saying, no, don't use this product in everyone. It's not for everybody. It's just not. It's for a patient that we believe that is immune compromised, has PI, has secondary immune deficiency, and then has complex comorbidities that are hard to manage. And I think that in this right patient population we're not seeing a lot of barriers to getting patients on therapy. And then I think the last part of your question was still no competitors. No one that we see some of the competitors out there who have announced programs with specialty hyper immunes, they're not doing well with their programs. They're not doing well in general. So I just think that we're standing alone with our portfolio of products. We've got a unique share of voice, if you will, within the immune compromised patient space. You know, that that's where we focus specifically and our ip is solid and you know, we feel very, very good that with respect to incentive and how it's made and how we market it, there is no competition that we are aware of in the United States for the foreseeable term. So hopefully that answers the three parts of the question.
Gary Nachman: That was great. But just on the outlook beyond 2025, I mean you guys do a great job of even going out that far. But since you're talking about it, when do you think you're going to have enough visibility, you know, later this year into next year once you start to see what I would say, what I had. Adam?
Adam Grossman: No, Gary, I mean, look, we have ideas, obviously, but look, I need to see, it's all about timing. When in my yield enhancement, conformance, lots going to be made. How do I get it on file? What's the FDA going to say? I could sit here and predict, but I don't need to. I've got enough growth coming that I hope to keep everyone happy for the near term. I think as we progress to the back half of this year, obviously we'll will be thinking about 2026 guidance and look in due course, as Skylar was saying, we should be in a position. But again, I think the sky's the limit. And if the sky is that $2 billion peak revenue opportunity, I mean look, I've got staff here that say to me, I hate the term, but they say, boss, we're going to get you as much plasma as we possibly can. And I say don't call me boss, but let's get as much plasma as we could possibly get. I mean that's what we're focusing on here. Everyone is working together, yield enhancement every single day. That's what's driving everybody's excitement in and around the production campus here at the plasma centers. I mean it's buzzing. I mean the donors are coming in the doors. Our new donor promotions, our promotions for the hyper immune donors are really taking off, as Brad was mentioning. And Brad hit on a key point, which is we're retaining more donors than ever before and that's a key to win the battle. So keep your pants on. We'll get you the numbers, Gary, we'll get them for you. But look, I think that you can hear the confidence in our prepared remarks. I think you hear the confidence in our tone with the Q&A. You know, we've really built a great business. And again, I take my hat off to my team because it was my father and my vision. We knew that the patients were out there. We knew that the docs needed a product like this. But I have no idea how many employees we have today. 700 plus or minus.But it is 699 of them that are making this happen. And I'm just very, very happy to be along for the ride. What we can say qualitatively today about the 2025 growth story, right. It's going to be one defined by outsized operating leverage. And the way that we've said time and time again that the current operating expenditure structure that you're seeing in the first quarter, numbers that have remained relatively stable over the last few quarters. Our commercial organization is right side, our spend base is right sized. So as you think about post 2025 revenue growth, again, you're going to see operating leverage materialize that we believe we haven't yet realized. So stay tuned. In due course we'll provide quantitative framework, but we're really excited about what the back half of the decade brings.
Gary Nachman: Yep. No, that's great. I'm only asking because you guys are bringing it up. So I think that's all fair in your assessment. So appreciate all that. And then just quickly, where are you currently with your penetration of incentive? If you're still in the 500 to 1000 range, are you now at the higher end of that? Just give us a sense. When you talk about the addressable market, which is ten to 30,000, then how much are the uses in secondary immunodeficiency versus primary? It feels like that's something that's evolving out there and then I'll get back and kick. Thanks.
Adam Grossman: Thanks, Gary. The majority of the utilization is in primary immune deficiency. At least that's, that's what our data suggests. We are very, very excited about the penetration with where incentive is. It's still in that range. It's growing. But you're not just going to see overnight. All of a sudden we're going to put thousands more patients on the product. I think you're going to see steady growth. I think you're going to see periods where there's going to be bigger chunks of growth than you've seen historically. But I think all of that is to be determined. But we're going to continue to penetrate, we're going to continue to provide more drug quarter over quarter. Bivigam and asceniv and it's an exciting time for all of us here at ADMA.
Operator: Thanks. We have no further questions in queue. I would like to turn the call back over to Adam Grossman for closing remarks.
Adam Grossman: No. Thank you, everybody. Thank you again to the ADMA team. Thank you again to all of our investors. We can't do it without your support, and we appreciate you. So donate plasma. It's the summertime season. Donate blood. Also, in summertime, there's usually blood shortages, but donate blood and blood components help save lives.
Operator: Ladies and gentlemen, this concludes the conference. You may now disconnect.